Operator: Good day to you, ladies and gentlemen, thank you for standing by. Welcome to the Rush Street Interactive First Quarter 2024 Earnings Conference Call. [Operator Instructions] Please note that this conference call is being recorded today, May 1, 2024. I would now turn the call over to Kyle Sauers, Chief Financial Officer. 
Kyle Sauers: Thank you, operator, and good afternoon. By now, everyone should have access to our first quarter 2024 earnings release that can be found under the heading Financials Quarterly Results in the Investors section of the RSI website at rushstreetinteractive.com. Some of our comments will be forward-looking statements within the meaning of the federal securities laws. Forward-looking statements are not statements of historical fact and are usually identified by the use of words such as will, expect, should or other similar phrases and are subject to numerous risks and uncertainties that could cause actual results to differ materially from what we expect. We assume no responsibility for updating any forward-looking statements. Therefore, you should exercise caution in interpreting and relying on them. We refer you to our SEC filings for a more detailed discussion of the risks that could impact our future operating results and financial condition. 
 During the call, we will discuss our non-GAAP measures, which we believe can be useful in evaluating the company's operating performance. These measures should not be considered in isolation or as a substitute for our financial results prepared in accordance with GAAP. In particular, we will be discussing adjusted EBITDA, which we define as net income or loss before interest, income taxes, depreciation and amortization, share-based compensation, adjustments for certain onetime or nonrecurring items and other adjustments that are either noncash or not related to our underlying business performance. A reconciliation of these non-GAAP measures to the most directly comparable GAAP measure is available in our first quarter 2024 earnings release and our investor deck, which is available in the Investors section of the RSI website at rustreetinteractive.com. For purposes of today's call, unless noted otherwise, when discussing profitability, EBITDA or other income statement measures other than revenue, we're referring to those items on a non-GAAP adjusted EBITDA basis. With me on the call today, we have Richard Schwartz, Chief Executive Officer. We will first provide some opening remarks and then open the call to questions. And with that, I'll turn the call over to Richard. 
Richard Schwartz: Thanks, Kyle. Good afternoon, and welcome to our first quarter 2024 earnings call. We are pleased to report that we began 2024 with the same strong momentum with which we ended 2023. First quarter revenue was $217 million, up 34% year-over-year, and EBITDA was $17 million, representing a $26 million improvement year-over-year. Both of these figures represent quarterly records by a wide margin, something our team is very proud of. We were able to achieve these milestones by continuing to focus on the quality of our product experience and the ability to efficiently acquire and retain high-value players. Said simply, we are adding players to our platform more quickly. Players on average are higher value, we are finding these new players more efficiently than ever, and we are driving meaningful profitability from this impressive growth. During the quarter, both iCasino and online sports grew over 35%, demonstrating balanced growth across our product verticals. This is a continuation of what we saw last quarter and continues to be driven by both rapidly increasing player counts and improving player values. The results of efforts to continually differentiate our user experience and offer a high-quality experience that engages and retains players on our platform. 
 In North America, we again achieved a new record in monthly active users. For the first quarter, MAU growth was 20% year-over-year. Going back to beginning of Q4 last year, we have seen our growth in North American MAUs accelerate monthly in each of the last 6 months. In Latin America, our MAUs continued to grow rapidly during the first quarter as we were up 72% year-over-year. It is noteworthy that these growth in users across our markets did not come at expensive player value as we increase both North American and LATAM at MAUs in the first quarter. 
 Next, there are a few market-specific takeaways to highlight. While we experienced growth across all market vintages, our newer markets continue to drive outsized revenue growth. In Latin America and in the U.S. Canadian markets launched since 2021, revenue grew 78% year-over-year in Quarter 1. This growth across newer markets led to our revenue contribution from markets other than Illinois and Pennsylvania to reach 57%, up from 47% during the first quarter of 2023. As a reminder, our operating margins in Pennsylvania and Illinois are lower due to the arrangements with our land-based partners in these states. Thus, as a percentage of revenue contributed from other markets increases, our overall margin should expand, which is what we saw in Q1. Our newest market, Delaware, continued its strong early performance that we highlighted during our last earnings call. For Q1, our annual GGR run rate increased and was nearing $70 million, a $10 million increase from the $60 million level we shared on our last call was driven by a strong end to the quarter. We ran over 4x the rate of the previous operator during the month of March with around 75% of this GGR attributed to iCasino, similar in market proportion to other states for both iCasino and online sports betting are allowed. We achieved this level of scale with a focused marketing spend and approach, validating our belief that players appreciate our differentiated products and respond to our focus on a high-quality and trustworthy customer experience. 
 While on a topic of Delaware, many of you have seen, and there has been a bill introduced to expand online sports betting to additional operators. We are actively involved in discussions on this topic and have support from key stakeholders in the state, leading us to feel positive on the current structure remaining in place. In the event there is a change, I'll remind you of the loving effort only applies to online sports betting. While our newer market continued to be strong growth, we also saw a resurgence from some of our more mature markets. During the quarter, our 3 largest online casino markets in North America: Michigan, New Jersey and Pennsylvania, each had our highest year-over-year revenue growth rates in the last 2 years. Our focus on the iCasino experience is resonating with new and existing customers, driving very solid growth in these existing markets. 
 Turning to our LATAM operations. We continue to be extremely pleased with our performance in Colombia and Mexico. Our Rush bet brand is resonating with customers as evidenced by our year-over-year MAU and ARPMAU growth. This translated to year-over-year revenue increases of 84% in Latin America, with a lot of room for continued growth as we invest in both these markets. In terms of marketing approach, while our strategy has not wavered, our execution continues to improve. We target the highest ROI opportunities with an emphasis on attracting the highest value players to our platform and retaining them by offering them a high-quality experience. And this is working. Specifically, I'm very proud that we have continued to deliver results in driving greater efficiency in our marketing costs. In fact, in Q1, we had our highest number of first-time depositors ever as a company and the highest in North America since our launch in New York in the first quarter of 2022. And we've been able to do this while lowering our CPAs to less than half of what they were a year ago. One of our unique strategies for acquiring customers is our BetRivers Network, which we use to engage players and keep the BetRivers brand top of mind for our players. In light of the strategy, we were excited to recently announce the renewal of our partnership with sports broadcasting legend, Mike Francesa, who is a staple on our BetRivers Network. Subsequent to quarter end, we were also proud to announce our partnership as a title sponsor for the NASCAR Xfinity Series Dash 4 Cash race. The BetRivers 200, which took place on April 27 at Dover Motor Speedway, marked the first time in Delaware history of fans to place mobile sports wagers from inside a sporting event. This historic event came on the heels of our online sports betting launch in the state and served as a unique opportunity to promote our brand while also investing locally in Delaware and supporting an unforgettable event of the same raceway. 
 Lastly, we furthered our commitment to returns-based marketing through the announcement of the hiring of Brian Sapp as the company's first Chief Marketing Officer. Throughout his career in the gaming and mobile industries, Brian has repeatedly led marketing teams to deliver successful brand and data-driven campaigns that scale businesses while achieving growth and profitability goals. Our entire team is very excited at Brian on board. 
 On the new markets front, we continue to be excited about a variety of opportunities opening up across the Americas. Our next likely market launch will be Peru, which we anticipate to be later this summer. We are finalizing our plans and strategy, and we are very excited about this opportunity. As a reminder, Peru is about 2/3 of the population in Colombia with a slightly higher GDP per capita. We believe we are well positioned for success there given the market adjacencies and overlap with Colombia and established teams in Colombia, we will leverage. As for other regulated markets in LATAM, we continue to evaluate a range of opportunities. The regulations for Brazil have been beginning to roll out, so as they are published, we are reviewing and assessing them. We will continue to share updates about these markets, which, as noted in the past, typically include both online casino and online sports betting, playing to our demonstrated strength of multiproduct markets and Latin America. With that, I'll turn the call over to Kyle. 
Kyle Sauers: Thanks, Richard. First quarter revenue was $217.4 million, up 34% year-over-year, driven by strong growth of over 35% year-over-year across both our iCasino and online sports betting products. As Richard highlighted previously, our first quarter results were also strong across market vintages and geographies. We continued our trend of positive EBITDA for the fourth consecutive quarter and reached a record $17.1 million, up from negative $8.7 million during the prior year period. We were able to achieve these results due to the increased flow-through we're able to capture as our business scales and our operations and marketing continues to optimize. As previously mentioned, our top line growth was the result of growth in both the number and value of our user base. In North America, MAUs reached 176,000, up 20% year-over-year, while ARPMAU was up 9% year-over-year to $355. Our Latin America metrics were also up, with MAUs reaching 224,000 during the quarter, representing a 72% year-over-year increase and ARPMAU reaching $43, a 4% increase over the prior year period. We continue to find the right ways to efficiently bring new players onto the platform, retain them well and work hard to reactivate those that have been away for a while. We are as convinced as ever that once players find the BetRivers a Rush bet experience that will dedicate a large share of their entertainment wallets and keep returning for years to come. 
 For the quarter, gross profit margin increased 160 basis points sequentially to 33.7%. As Richard highlighted, revenue from the markets other than Pennsylvania and Illinois accounted for 57% of revenue during the first quarter, the highest percentage since we've been public and a trend that we expect to continue. As evidenced by our strong growth in MAUs and ARPMAU, we're very pleased with the impact of our marketing spend in Q1. For the quarter, advertising and promotions were $37.8 million, which is up single digits sequentially, but down 23% from the same period last year. As a percentage of revenue, this equated to 17%, which is down from 30% in the first quarter of 2023. Our current thinking is that marketing spend is likely to be up sequentially in the second quarter and third quarter compared to the first quarter, with a bigger step-up in Q4. Of course, given our success in finding cost-effective and unique ways to drive customer acquisition, we'll continue to remain flexible with our plans. G&A for the first quarter was $18.3 million, equating to 8.4% of revenue. As highlighted in our last call, much of the run rate increase in G&A was absorbed in Q1 due to annual compensation adjustments. Going forward, we continue to believe that our full year G&A expense as a percentage of revenue will be below 2023's 8.8% due to the leverage we experience as the business scales. We ended the quarter with $191 million in unrestricted cash, an increase of $23 million during the quarter, and we continue to have no debt. 
 Following on our strong first quarter results, we are raising both our full year revenue and EBITDA guidance for 2024. We now expect full year revenue to be between $810 million and $860 million, which increases the midpoint to $835 million, up $35 million from our initial guidance. We expect full year EBITDA to be between $50 million and $60 million, which increases the midpoint to $55 million, up $15 million and up 38% from our initial guidance. And as a reminder, our guidance includes only those markets that are live as of today. And with that, operator, please open the lines for questions. 
Operator: Absolutely. [Operator Instructions]. Our first question will go to the line of Jed Kelly with Oppenheimer. 
Jed Kelly: Great quarter. Just looking at the back half, kind of the updated guidance implies some sort of a deceleration, but you do have easing comps, you get a benefit of a full year of Delaware. So can you just talk about what's going on there? And then can you give us an update on how holder trending in April relative to March and 1Q? 
Kyle Sauers: Sure. Jed, thanks for the question. I would say we feel like we put really solid growth numbers in the guidance here with revenue up something like 17% to 24% and EBITDA of $42 million to $52 million compared to last year. I'll remind you that we're -- when we put out guidance at the beginning of the year, we were above consensus and then just increased EBITDA and revenue again since the call before. I think on your question about implied revenue for back half of the year or the last 3 quarters of the year, a couple of things to have in mind. Obviously, there's a lot of factors that go into creating that guidance, there's different hold outcomes, growth rates in our newer markets, you referenced Delaware, which is going great, but obviously new for us, so some variability there. We've got seasonality in the business, both in sports -- more so in sports, but both in sports and iCasino. Maybe specific to your question, 2 things that I would point out. One is that there's some tailwinds in the first half of the year for FX differences in Colombia last year to this year and those tailwinds go away in the second half of the year, assuming exchange rates stay where they are. The other thing is our hold rates in sports and maybe to a lesser extent, casino, but both of them were closer to the higher end of our expected ranges last year in Q2 and Q3. So the comps are a little bit tougher in Q2 and Q3 because of that reason. 
Jed Kelly: Got it. And then you did mention you're stepping up marketing in 2Q, I think, can you just give us a reason for the marketing and how your ROI is trending? 
Kyle Sauers: Yes. So I think we mentioned in the prepared remarks that are -- so first of all, FTDs are at the highest rate they've been in the company's history. CPAs are half what they were this time last year and trying to give some directional trends on marketing spend, but we -- because we're always looking for good ways to put money to use to bring in new players that are going to be valuable for us. We want to stay pretty dynamic on it. We spent less in Q1 than we had originally anticipated to and we see a lot of opportunities, a lot of good places to put money to work. So I think the current thinking is that Q2 and Q3 would both be a little bit more than what we spent in Q1. Certainly, that could change, that's part of the reason for a range in our guidance. And then in Q4, the sports calendar going into the winter for iCasino, we'd expect it to step up a little bit further. 
Richard Schwartz: Just adding on, Jed, just -- we want to remain flexible and focused on investing where we see the best value. This gives us a chance to do that. 
Operator: Our next question comes from the line of David Katz with Jefferies. 
David Katz: Good evening, everyone, or afternoon, depending on where you are. I know that Jed mentioned Delaware and Richard, I'm not sure I heard a ton in your prepared remarks. Apologies if I missed it. But could you just give us a sense for how you're doing there and what your sort of outlook and expectations are? 
Richard Schwartz: Sure. I think what we shared is that we went from last quarter, we thought the run rate was around $60 million. We've been able to accelerate that to the run rate now being at a $70 -- near $70 million GGR for the year. I would say that we're having tremendous success, I think the quality of our casino product and the user experience we offer to our customer service is definitely being noticed by the players, and we're seeing the dramatic improvement on performance versus what it was prior to us taking over the business at the end of December. We think the growth has been exciting, we think there's lots of things we're going to continue to do to try to grow that business, but it's unclear what the growth will look like moving forward but we know that we are continuing to invest in some targeted marketing opportunities. We just recently held the -- last weekend there was a big NASCAR race in Dover. We were the featured sponsor along with the 3 racinos there, it was a great event, a lot of positive feedback from that, a lot of positive awareness for the brand and the activity that we're supporting there. So we feel very optimistic about the future, but we feel like it's a -- market I think is far beyond what people expected it to be at for us. 
David Katz: All right. And just one kind of bigger picture question about iGaming. I mean we spend a great deal of time focusing on sort of the next product and product depth within sports betting, if we could shift the discussion to iGaming, are there sort of next product types or product categories that can provide a similar step function and performance like we've seen in sports betting? [indiscernible] what they are, we won't tell anyone. 
Richard Schwartz: Yes, I think on a public call like this, I'll have to be a little bit careful on the specifics for competitive reasons, but I will tell you that we are unique in that we know how to manufacture fund as an operator. Most couple of their operators don't create it. They sort of license it from third-party suppliers. So having that capability, the technology in-house, the design, understanding of how to create compelling user experiences, it's giving us a great level of confidence that the next things are rolling out are going to be very exciting for the customer. There's a couple of big ones coming down the pipeline that we've been working on very closely that we're very excited about. Again, I think most company strategies are to aggregate game libraries as many third parties as possible. We do that probably better than in many of our competitors, but it's not something that's unique to us. But we really differentiate ourselves is the ability to create community features, site-wide community features, gamified features, social experiences that are unique to our site, offering ways for players to win in unique ways that aren't available elsewhere and creating a fun experience for players that they really can't repeat if they play somewhere else. So when we put all those things together, we personalize experience you offer these really exciting promotions, you develop experiences that are fun, and that's what you want to create for this audience. And again, it's hard to do, but we think we've done it well in the past, and the results have delivered exceptional returns for us. And we're about to launch new ones in the future later this year that we're equally or even more excited about. 
Operator: Our next question comes from the line of Chad Beynon with Macquarie. 
Chad Beynon: Nice results and outlook. Kyle, your balance sheet is in a really strong position. It looks like based on end of quarter, your cash balance is the highest it's been in at least 6 quarters here. So given the outlook of EBITDA, the cash balance, how are you thinking about uses of this, whether it's M&A, capital allocation? Can you kind of frame that out? 
Kyle Sauers: Yes. I'll point out it wasn't that many quarters ago that you guys were asking about, did we have enough cash? And now we're generating plenty so we're pretty excited, and we're happy to be in that position and don't see that changing. I think in terms of use of the cash, obviously, we're always looking at the highest return opportunities and where those might be. And that conversation evolves and we continue to look at different things. I think the biggest thing that we've got to be ready for and have dry powder for as new market launches. So that's first and foremost. And I think the thing that we continue to look at is M&A or tuck-in acquisitions that could be additive to what we're doing. 
Chad Beynon: Appreciate it. And then with respect to live dealer, where are we in that journey? And just kind of thinking or looking at your active users, are these customers that are interested in live dealer are they generally customers that are going to skew significantly more of their time towards slots? Could you kind of help us with that, please? 
Richard Schwartz: Sure. Live dealer is a great category as you know, it's improving globally, and it's certainly doing well in the U.S. We think there's an opportunity for us to do better than we have done in live dealer. We've put a lot of efforts into achieving some additional strategies there that will help us to deliver, I think, stronger growth in the live dealer category. One of the things we've done is we've been early to launch a live dealer in additional markets, and we've also been able to diversify our vendors that we use it and probably in a more -- more than others have. So I think a variety of content is helpful but also the way we're integrating the games and adding some side capabilities and side bets and other types of community features that will allow our players to sort of engage with the live dealer in a way that creates fun, again, sort of the theme of the player experience from our standpoint is manufacturing fun for the players. So live dealer is a great category. We believe there's a lot of growth ahead in it for us and we are working very diligently on creating an environment where we could sort of be one of the leaders in the live dealer category. 
Operator: Our next question comes from the line of Dan Politzer with Wells Fargo. 
Daniel Politzer: In terms of the revenue growth, it looks like in the U.S., it accelerated in the first quarter. I think it was your highest pace of growth in a number of quarters. So I mean, I assume that that's from Delaware but to what extent are there other factors in there, maybe a reduction in promotions or even an acceleration in some of the markets you're in? If you could just kind of unpack that and maybe give some detail on how to think about the rest of the year as it relates to U.S. versus LATAM? 
Kyle Sauers: Yes. No, it's a great question, Dan. I think the growth is really very broad-based. Certainly, Delaware has been a nice win for us. But to your point, in the U.S., -- U.S. and Canada, our highest growth rate, even excluding Delaware, it's our highest growth rate in many, many quarters. Obviously, Latin America is growing wildly. That's fantastic. Richard pointed out that in Michigan, New Jersey and Pennsylvania, 3 of our largest markets, we had our highest growth rate in over 2 years -- highest year-over-year quarterly growth rate. So there's just a lot of really great things going on. We talked about the user count growing pretty significantly. And when you do that and you're also increasing the player value, it's obviously pretty powerful. 
Daniel Politzer: Got it. And then in terms of the customers that you're seeing the newer customers coming on to the platform, is your -- based on the data that you have and the intelligence that you get access to, are these new customers to iGaming? Are these customers that are maybe coming over from different peers in the market? 
Kyle Sauers: Dan, is your question whether the people we're bringing on to the BetRivers or Rush bet platforms, if those are incremental players to online gaming or whether we're getting more share from someone who is already on a platform? 
Daniel Politzer: Yes. Are they new to product or just more new to brand as you kind of accelerate your growth in those markets and maybe take a little bit of share? 
Kyle Sauers: Yes. I think it's hard to know for sure. I'll tell you that our growth in user counts, obviously, the value of an iCasino player is greater than the value of someone who only plays sports. Someone who does both is far more valuable. We actually have a slide in our investor deck that we keep in there each quarter that just demonstrates that. But the user counts and the growth that we had this past quarter and even going back to Q4, it's very balanced between players that are playing iCasino, playing sports or playing both. So I think there's an element of us bringing new people into the ecosystem, the gaming ecosystem and us getting more share. I think it'd be -- it'd be hard to suggest that we're able to grow our average revenue per user like we did add as many users and have them all be new to iGaming because it would have been pretty dilutive, I would imagine. 
Daniel Politzer: Right. That's kind of what I was getting at. 
Operator: Our next question comes from the line of Bernie McTernan with Needham. 
Stefanos Crist: This is Stefanos Crist calling in for Bernie. I just wanted to ask on Mexico, continuing to show strong growth. I just wanted to ask on the timing and path to profitability there. 
Richard Schwartz: I'll start. We're still having a great success in that launch period. We've referenced Columbia in the past, but if you were to update the information, we're about 2x the Columbia launch revenue over the same time period. So you could see we've accelerated at a really nice pace relative to where we were in Colombia, we know how great the story of Colombia has unfolded for us in recent years. And I think in terms of the profitability, we actually have crossed with the reshold, and we're profitable in the first quarter on a contribution basis from Mexico. 
Operator: Our next question comes from the line of Ryan Sigdahl with Craig Hallum Capital Group. 
Ryan Sigdahl: I want to say on Mexico, good to hear profitability there. I guess how much of that do you think is attributed to product and the assortment you guys are offering from a user experience standpoint? Also thinking about the largest operator there that has dominant market shares had some legal issues, had some issues with their tech partner, I guess how much of that competitive dynamic is also helping? 
Richard Schwartz: Ryan, it's Mexico is a complicated market. There's a lot of quality operators there and some quality experiences. I do think that we've done a really nice job of building the right functions that you need to localize the product in the proper way to optimize our results before we started to spend too aggressively. I would say that as a casino first operator with the quality of our casino, it does stand out when players play versus other products in the marketplace. But even in the sports book, as you know, in Colombia, our sportsbook revenues are larger than our casino and our sports of quality is very good for that market in that region and I think we've been able to do some things in that market that really are high quality. We brought subsuming parlay to the market and many of the local Mexican operators didn't offer in their solution. The registration flows that we've offered are unique. We've added some tools others don't have in the market to make it an easier experience for users to register make a first deposit. We have a seasoned marketing team that's doing a lot of really good promotions and advertisements reaching the audiences in the right places at the right times. We see a lot of growth ahead for us in that market. 
 There's some exciting promotions we're running with some unique features we have and we -- as you probably know, we have a unique tournament system we've built, and there's some clever ways that we're using that to engage customers in an experience that isn't available anywhere else. And when we can do something like that where the players enjoy that are engaged with us on a frequent basis we have a chance to retain those customers and generate a higher wallet share for them. So I would say that, yes, there's a tough competitor there, it owns a lot of market share, but they are declining and shared it appears and companies like us are slowly growing share and expect to be able to have a long path ahead of growth for us there. 
Operator: Our next question comes from the line of Mike Hickey with the Benchmark Company. 
Michael Hickey: Congratulations on a great quarter. I guess, Richard, first, there was some media noise in the quarter as reported by Bloomberg, which I think is still pretty credible that potentially you're seeking strategic alternatives and a possible sale of the company. I think DraftKings are still in the mix is maybe being inquisitive. So you probably won't comment on it, but I'm curious if you would and why you wouldn't just start a formal process if that's true. And the second question for Kyle. I heard the -- you're asked, I guess, on your guidance, and I get nothing wrong with being conservative in raising your numbers. I mean, that's awesome. But when you look back over the last 4 years, Kyle, you've grown your revenue sequentially from Q1 each quarter through the year-end. And so I heard hold and seasonality and FX, but maybe if you could just double click again on your guide on the top line, given that your first quarter is sort of 26%, up the midpoint of your raise here. And it seems like that's a pretty conservative raise given that backdrop? 
Kyle Sauers: Yes, I'll take that one first, Mike. And so I think you heard it, there's a bit of a tailwind more so in Q1 than it is in Q2, but still there in Q2 and then absent in Q3 and Q4, given where the exchange rate is right now for Colombia. And then Q2 and Q3, a little tougher comparables with better hold last year. And I think the other thing just to keep in mind, it's a good point about -- if you go back and look at history and how our revenue has progressed throughout the year. I think the thing that is different at this point around that cadence is that we don't have 2, 3, 4 markets that are launching each year that are in the super high growth phase or maybe even had negative revenue in the first quarter that it launched and then turned positive that would have aided that sort of cadence throughout the year. So we've put out a new revenue guide and increased it nicely. Certainly, we had a really, really nice first quarter, but we -- it's the range that we're comfortable with, given all the different factors and obviously, like any quarter or any year we endeavor to get on the phone with you guys the following quarter and post good results and raise those estimates if we can. 
Richard Schwartz: I'll jump in on the first question. You had a follow-up to it? 
Michael Hickey: No, go ahead. 
Richard Schwartz: On the first question, I read the same article you referenced, and here the same speculation that you have. I can't respond to the rumors or speculation in the press -- from the press, obviously, on this call. But what I can say is that the Board and the management regularly evaluate all opportunities that we have and our goal is to always maximize shareholder value. As substantial shareholders, ourselves and the management team are fully aligned with the shareholders. What we have built to continue to build is what we believe is tremendous value to our investors. And we have a lot of assets that are valuable to us is like they're interesting to other companies and we will continue to evaluate all opportunities as part of our shareholder obligations. 
Michael Hickey: Richard, I get that, man, and you guys are definitely delivering, and it doesn't look like you're getting necessarily a fair shake from the market here in terms of your valuation. I guess, why wouldn't you start a formal process on a strategic alternative including the possible sale, like why not be formal about it, I guess, Richard, is the question? 
Richard Schwartz: Yes. We just -- that I can't respond to that question in this public setting. 
Operator: There are no additional questions waiting at this time. So I'll pass the conference back over to Mr. Schwartz for closing remarks. 
Richard Schwartz: Thank you, again, for joining us today. I'm really proud of our team and what they are achieving. Our executive team recently visited all of our offices and team members across the globe. We left those visits feeling inspired by the quality and the commitment of our teams. They are enthusiastic, passionate and fully aligned with our goals for the company, the best is yet to come. We look forward to updating you on our progress as we share our second quarter results in a couple of months. Thank you. 
Operator: That concludes today's conference call. Thank you for your participation. I hope you have a wonderful rest of your day.